Operator: Greetings and welcome to the Federated Investors Second Quarter 2019 Analyst Call and Webcast. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I'd now like to turn the conference over to your host Raymond Hanley, President of Federated Investors Management Company. Thank you, you may begin.
Raymond Hanley: Thank you and good morning. Welcome. Leading today's call will be Chris Donahue, Federated's CEO; and Tom Donahue, Chief Financial Officer. And joining us for the Q&A are Saker Nusseibeh, Hermes' CEO; and Debbie Cunningham, the CIO of our money market operations. During today's call, we may make forward-looking statements and we want to note that Federated's results may be materially different than the results implied by such statements. Please review the risk disclosures in our SEC filings. No assurance can be given as to future results. Federated assumes no duty to update any of these forward-looking statements. Chris?
Chris Donahue: Thank you, Ray. Good morning. I will briefly review Federated's business performance and Tom will comment on our financial results. We crossed the significant threshold in the second quarter as the managed assets entrusted to us from our clients crossed over the $500 billion mark. Looking first at equities, we closed the second quarter with $82 billion of assets, up from $80 billion at the end of the first quarter. The growth resulted from market appreciation net sales for both funds and separate accounts. We had 21 equity funds with net sales positive in the second quarter led by Kaufmann Small Cap and Hermes Global Emerging Markets funds. Several MDT funds also had positive net sales. Several other Hermes equity funds achieved net sales in the second quarter including the Global Equity ESG Fund, the SDG Engagement Equity Fund, and Europe Ex-U.K. Equity Fund. Using Morningstar data for the trailing three years, at the end of the second quarter, about one-third of our equity funds, eight out of 25, were in the top quartile and nearly three quarters, 18 of 25, were in the top half. Looking at the Strategic Value Dividend strategy, recall that its objective is to provide a high and growing dividend income stream from high-quality companies. The domestic funds 12-month distribution yield of 3.76% ranked it in the second percentile of its Morningstar category at the end of the second quarter. The domestic Strategic Value Dividend strategy had combined mutual fund and SMA outflows of $404 million in the second quarter, down from $452 million in the first quarter. Looking at early Q3 results, combined fund and SMA net redemptions for this strategy were about $32 million through the first three weeks of July. Overall, combined equity and SMA net redemptions for the first three weeks of July were $72 million. Turning now to fixed income, assets increased by about $1 billion in the second quarter to $65 billion due mainly to market-related gains of the a little over $1 billion. We had a slightly positive net sales compared to net redemptions that we had in the first quarter. On the fund side, we saw net sales of the Total Return Bond Fund and the return of net sales for high-yield funds. For fixed income separate accounts, the net outflow was due largely to an asset allocation change made by an insurance company client to the tune of about $270 million. At quarter end, using Morningstar data for the trailing three years, we had five funds about 15% in the top quartile and 22 funds or 65% in the top half. Fixed income fund and SMA net sales are negative early in the third quarter at about $300 million due largely to the redemption of a Total Return Bond Fund amount from an individual client who made a model change. Total Return Bond Fund for its part has maintained its solid long-term performance record ranking in the top 34th percentile of its Morningstar category on a trailing three-year basis and top 27% on a trailing five-year basis at the end of Q2. This trailing one-year record was top 40% and if you're interested for the month of June it was in the top 12%. Now looking at money markets. These assets increased about $15 billion in the second quarter. We saw positive money market fund flows from a variety of institutional and intermediary clients in the second quarter. Money market strategies continue to have a significant yield advantage compared to average deposit rates. Prime money fund assets increased $8 billion were about 15% in the second quarter. Our money market mutual fund market share including sub-advised funds at the end of the second quarter, increased to just over 8%. Taking a look now at our most recent available asset totals with Federated as of July 24 and Hermes as of July 19. Managed assets were approximately $512 billion, including $343 billion in money markets, $83 billion in equities, $64 billion in fixed income, $18 billion in alternatives and $4 billion in multi-assets. Note that money market mutual fund assets were $241 billion. Federated and Hermes RFP and related activity levels continue to be solid and diversified with interest in MDT, Strategic Value Dividend, Kaufmann and Global Emerging Markets for equities, incorporates high-yield in short duration for fixed income. We began the quarter with about $1.5 billion in net institutional mandates yet to fund with about $800 million in fixed income and $700 million in equities. We expect these wins to fund in 2019 with about $1.2 billion in two separate accounts and $300 million in two funds. On the international side, following the recent launches of the first three Hermes funds, we continue to move forward in registering and evaluating launches of additional U.S. mutual funds using Hermes strategies. We are also actively presenting Hermes strategies with our institutional customers and are working with Hermes to develop opportunities for them to offer Federated strategies to their clients. We are expanding the Hermes EOS stewardship and engagement business in the U.S. and are hiring several new engagements. Hermes EOS assets under administration reached $638 billion at the end of the second quarter, up from about $587 billion at the end of the first quarter. Federated, EOS assets under administration equaled $48 billion at the end of the second quarter. The quality, depth and breadth of Hermes EOS capabilities is a powerful differentiator adding important insights and information as part of Hermes investment process. Federated has become an EOS client and EOS data and services will be available for Federated investment teams to consider in addition to the many resources information resources that are already in use. Hermes managed assets at quarter end were approximately $45.7 billion in dollars, up from $44.3 billion for the first quarter with market gains of about $1 billion and net sales of approximately $800 million, partially offset by about $460 million negative impact from currency rates. We are looking to grow Federated and Hermes business relationships and opportunities in the Asia-Pac region, including through alliance and acquisition efforts. Our efforts here complement our European, U.K. and Canadian operations. As we go forward, I will turn it over to Tom for financials.
Tom Donahue: Thank you, Chris, and good morning everyone. Total revenue was up $14.4 million or 5% from the prior quarter due mainly to higher revenues of $8.8 million from higher average equity assets, higher revenue of $5.1 million from higher average money market assets and $3.7 million of higher revenue from additional day in Q2. Also low performance fees were recorded in 2Q compared to $3 million recorded in Q1. Revenue was up $65.5 million compared to Q2 of last year, due mainly to the consolidation of Hermes revenue of $48.1 million and higher money market revenue of $24.7 million. These revenue increases were partially offset by lower domestic equity-related revenue of almost $4 million. Looking at operating expenses. Comp and related decrease about $4 million from the prior quarter due mainly to lower incentive, comp expense of $3.3 million seasonal decreases to payroll tax expense of $2.1 million and lower stock comp expense of $1 million partially offset by higher benefits expense of $1.7 million and higher base salaries of $600,000. Distribution expense increased due mainly to higher average money market fund assets. Amortization of intangibles related to the Hermes acquisition recorded in other operating expense decreased $2.6 million, due primarily to a onetime reversal of $1.9 million related to our finalization of the purchase price allocation. Amortization of intangibles recorded in operating expenses is expected to be approximately $8 million on an annual basis. Non-operating amortization intangibles related to the Hermes acquisition increased $0.6 million, due primarily to a onetime increase of $400,000 related to the same finalization of the purchase price allocation and amortization of intangibles recorded in non-operating expense is expected to be approximately $2 million on an annual basis. So if you combine those two for Q2, operating and non-operating onetime net expense reversal from the finalization of the purchase price allocation, the number was $1.5 million. The total increase in operating expenses from Q2, 2018 of $61.3 million was due mainly to a consolidation of Hermes expenses of $44.8 billion. At the end of two -- Q2, cash and investments were $227 million of which about $180 million was available to us. And Matt that completes our prepared remarks and we'd like to open the call up for questions now.
Operator: [Operator Instructions] Our first question here is from Dan Fannon from Jefferies. Please go ahead.
Dan Fannon: Thanks, good morning. I guess first, could you expand on your comments about Asia and exploring partnerships and/or acquisitions, and that was in conjunction with Hermes I think you said. But maybe just give a little bit more context around what you're looking for what opportunities are out there?
Chris Donahue: Yes. Thank you, Dan. What we are looking for there's two different things. One is big alliances where you would have arrangements with large institutions who may even be interested in taking positions in Federated stock and strike up strong distribution arrangements. The other is to get Federated and Hermes mandates into various institutional and governmental accounts. And what we have done recently, because of the acquisition of Hermes, we observed that the efforts that Federated was doing was very similar to clients and prospects that Hermes was doing. And so in the second quarter, we decided to consolidate the distribution into Hermes efforts there and that resulted in the elimination of four positions from Federated and the addition of one of our Federated salespeople to the Hermes sales force. And so this effort will be now undertaken by Harriet Saker and the Hermes team.
Dan Fannon: Great. And then just a follow-up. If you could provide some context on the backlog the $1.5 billion that yet to funds. I guess, it seems to be decent momentum across the business. Can you talk about the funds that you're -- that's -- that those are centered around. But also just maybe a little bit more broader context around kind of momentum you're seeing on the combined firm and how you're thinking about kind of the backlog build beyond what you're -- that $1.5 billion?
Raymond Hanley: Dan, it's Ray. Just to comment on what's yet to fund that's been one. On the fixed income side, it's weighted toward our trade finance strategies. There's some high yield in their and some short duration. On the equity side, it's Hermes Global Emerging Markets.
Chris Donahue: And if I could comment, generally those are some of the mandates, not all where we are seeing a strong interest, that's why I mentioned the RFP and other activity. The trade finance is a unique offering and it is utilized both as a short-term investment by investors and as the cash portion to other long-term fixed income investments. And it's basically good old-fashioned Marco Polo factoring from the old days where a lot of these short-term movements of cold, rain et cetera are not successfully financed by banks at bank rates. And so there's a good opportunity for short-term high-quality financing and that has attracted a lot of attention.
Dan Fannon: Great. Thank you. 
Operator: Our next question here is from Michael Carrier from Bank of America Merrill Lynch. Please go ahead.
Michael Carrier: Good morning. Thanks for taking the questions. First can you just provide some more granularity on the strength in the market money market flows. Just in terms of the price channels? And I guess even seasonality because it seems like we're seeing less. And I realized as the industry tailwind with the yield premium to other cash products. But it does seem like your flows in your shared gains had been more pronounced. So any color on what you think is driving that relative to some of the other players?
Chris Donahue: I will answer it generally and I'll let Debbie talk to the market here. Generally when you've been committed to this business as long as we have so many decades, the customers and the marketplace realized that we are a go-to player in the money market force. And so when the products and the sales force and the story aligned we get back to the thrilling days of yesteryear when our market share was at 8%. And I'll let Debbie comment on a little bit on some of the specifics.
Debbie Cunningham: Thanks, Chris. Basically I think you have to do with a couple of different things. As Chris mentioned dedication to this business for nearly 50 years at this point, I think breadth of product-mix. We still have a large group of products to offer in all aspects of our governments money market funds, of our prime money market funds and of our tax-free money market funds both on a national as well as the state-specific basis. So I think we're a one-stop shop for a lot of different options for people to maybe not place their trade with just one specific fund but across several categories. We've also seen a broad selection of both institutional players in the market as well as the traditional ticket rate coming through the retail marketplace. With the direct yield curve with a LIBOR curve being slightly inverted at this point treasury curve being even more inverted. And the products on a yield bases looking particularly attractive versus what's out there on a -- to be offered from the deposit base. All of those things make the money market fund product mix very attractive at this point. So it's a combination of having a lot of experience in this marketplace, having yields that are very competitive and having a solution for clients and the base of clients that is not just one particular asset, but across all assets of this business in the marketplace.
Michael Carrier: Okay. That's helpful. And then just as a follow-up. Tom, just on expenses. I know you haven't been providing too much in terms of like guidance. But with another quarter of Hermes in the books, any update on how we should be thinking about whether it's expenses or even margins over the longer term? And then the other expense you mentioned that amortization benefit its still seems like that was pretty consistent with other quarters. So I didn't know if there was something else unusual to offset that benefit on the amortization side?
Tom Donahue: And the other line item the FX from hedging Hermes where they have to pay pounds and they receive their -- a lot of their income in dollars and their expenses are in pounds and so there's hedging going on there. And we hedge out, they hedge out months in advance and so it runs through there it's protecting us. And some quarters it will look better some quarters it will look worse. And in the end it's a no cost to us over time. So you're seeing some of that in there. In addition to last year we had some gains in the hedging of purchasing Hermes that came through. And it's interesting the gains wherefrom I believe like a three-day period where the pound changed and we've got gained. So the stuff moves around in the other category aside from the amortization from finishing off the purchase price allocation. In terms of comp and expense you see it. So happy that I'm not predicting that because it continues to move based on business and what's going on performance sales how things go at Hermes across-the-board. And the guidance that I can give you is that I expect it to change again.
Michael Carrier: All right. Thanks a lot.
Operator: Our next question is from Kenneth Lee from RBC Capital Markets. Please go ahead.
Kenneth Lee: Hi. Good morning. Thanks for taking my question. Just a follow-up on within the money market funds. How do you think, I mean it looks as if it's a very favorable environment right now, but how do you think client demand or positioning could potentially change if short-term rates were to decline in the near term.
Chris Donahue: Let's let Debbie give her observation about short-term rates and then we will both comment on what we think can happen.
Debbie Cunningham: We definitely think the yield curve was overdone and a little bit oversell on what that action might be taking place towards in the second half of this year and then going into 2020. It's become a little bit better situated in the most recent weeks with feds peak I think trying to talk the market back a little bit. Right now what we're seeing is the likelihood on a fed fund future bases and the LIBOR curve perspective of somewhere around two may be three interest rate cuts in 2019 with maybe one or none in 2020. Our expectation is that that's still a little bit overbalanced. We think that the Fed is at this point trying to find their neutral rate. They're looking to continue to normalizing. But the normalization that they were doing in 2018 and 2019 – or 2017 and 2018 had to do with increasing rates by 25 basis points every quarter. Perhaps they were a little bit overbalanced in that 25 basis-point rate increase that they voted-in in December. And I think they are looking to provide an insurance normalization decrease in the July meeting and take the rate down by 25 basis points. So I think they have every intention then of reviewing how that impacts the market, what the economic situation, and statistics in the marketplace continue to play out to be in the second half of the year. And I don't believe they're guaranteeing that anything is happening between now and then. So the 25 basis points, I think is pretty much baked in the cake at this point and then it will depend on how the yield curve looks after that and what the expectations would be for continuing movement. Certainly, what we don't see is the Fed returning rate to the zero-rate environment. We see them trying to find a neutral rate and normalizing around that neutral rate. At one point that neutral rate was thought to be around the 2.75%, it seems like maybe it's more like a 1.75% to 2% now in their minds given where inflation is and being the lower expectations for that. Having said that, in a decreasing rate environment, even if it's a mildly decreasing rate environment generally speaking manage products like money market funds and other, short-term liquidity products look very, very attractive versus the direct market. And as such it's a prime time for gathering assets into this asset class reallocating into this asset class. So we would expect that to continue.
Tom Donahue: And another observation here is this despite whatever the Fed does these are overwhelmingly cash management service products. Yes, they have yield. Yes they count these investments. And so there is an underlying force that causes people to want to have the money market fund regardless of what the Fed does. And I agree that, once you get done in the 1% and below that in your waiving then you have a slightly different situation and people say am I even getting paid for cash. But in any of these kind of situations including the new dynamic of them lowering rates and us having a higher yield, historically that has as Debbie pointed out been a time for more assets rather than less assets to be coming into the funds.
Kenneth Lee: Great. Very helpful. Thanks. And just one quick follow-up, if I can. Just latest thoughts on potential M&A opportunities, I saw that the company recently announced the acquisition-select asset from PNC, but just wanted to get your latest thoughts on what's – what potential opportunities are out there right now? Thanks.
Tom Donahue: Well, we're pretty busy working that transaction and hope as a PNC transaction and that's a pretty significant deal for us in terms of the number of funds, the money market business that we announced that we expected $9 billion when we announced the deal. And then the separate accounts business SMA et cetera. It's – we've got our hands full right now working on that. In terms of looking for future deals, we have our team and is continual – continually out there. And I can't have anything that I'm pointing to or anything more to say than other than we are going to be active and that will certainly consider roll-ups, and then other areas that we are lacking in we continue to look around. Like for instance, the SMA Muni business we are not a significant player there and that's one of the areas that we would have interest of finding somebody who is a significant player there.
Kenneth Lee: Okay. Great. Very helpful. Thanks again.
Operator: Our next question here is from Ken Worthington from JPMorgan. Please go ahead.
Ken Worthington: Hi. Good morning. So you've launched a number of Hermes products in the U.S. Can you talk a little bit about, how the Hermes' brand is resonating here? Usually products need a three-year maybe even a five-year track record to generate sales. But that's not always the case when there is sort of product that's new or hard or unusual and in demand. So maybe start by talking about how the Hermes brand is sort of translating over here in the U.S.? And do you think you're going to need the full track record to really ramp these products?
Chris Donahue: Okay. Ken, thank you. What I would like to do is have Saker talk about the roadshow that he and some of his associates did with some of the Federated people in bringing the Hermes named to the clientele and how that has worked since then. And then we'll get into more discussion on the branding. Saker?
Saker Nusseibeh: Thank you. So as background Hermes had been in the United States, but early with large institutional clients before. And if you look in terms of brand awareness before we started this and before we were acquired the majority acquired by Federated there was awareness amongst two sets of groups one is very large our key institutional clients because we've been following on with some clients. And the other one is among a group of people that are interested in ESG or in fact investing or indeed in stewardship where again we have clients already in that asset. So it's not as if it was a completely unknown brand. Now in June of this year, we had a conference in New York. And we combined two sets of expertise. We combined the set of expertise that was provided by Federated for its client base, in which, some very profound and keep this total, a legal work was presented. Trying to identify how this one, be able to pursue. What we do at Hermes which is integrating ESG. And be true to fiduciary duties as understood and trust law as understood in the United States. And I was followed by showing the way that we do it. And just to clarify, where Hermes' difference from everybody else is that, in essence, our aim of most because all of our normal portfolios is simply to outperform the benchmark, in the best possible way for our clients. But actually, we believe that the sustainability part of what we do, which is the SMA, ESG and additional information that we get from our stewardship business, the EOS, gives us additional informational advantage, which is why we are performing in certain sectors with different while the people that we integrate the ESG completely. And so also presenting that fiduciary duty if you like which was presented from two lawyers, one from Howard and the other form from Stuttgart. We then presented how we do it. And this was done really well with the lawyers. And this gives us much more to the traditional market that Federated tends to resonate with. Now in addition to that, albeit on the road, Paul Uhlman, seeing consultants and large potential clients, my colleague Harriet Steel who is equivalent of the Global Head of Business Development for Hermes has been on the road as well. And generally speaking, the reception has been very positive. Number one, because we have a very, very strong track record in our asset classes in Europe. Number two, we already were known in the space with that -- at least with the market launch for our brands. And number three there is a shift to one if you look at things slightly differently. And in many ways we are the pioneers who pioneered that market. I think I covered the June. I hand back to you Chris.
Chris Donahue: Thank you. I would echo the concepts of the strength of a sustainability investment theme and the acceptance of that in clients. And this has been really a welcoming thing on the part of clients. You all know, all of the articles written about how this team is very important to young investors and to various institutional investors. And we think the uniqueness that Saker has just gone through, will be very helpful for us. And I would just like at this point to let Debbie comment on how she sees minimal credit risk. And ESG sustainability as working into a money market fund. Debbie?
Debbie Cunningham: Thanks Chris. Certainly, this is an area that we have been focusing on, for the entire year of 2019. As well as the end of 2018 once we began to understand a little bit more about the ESG and the EOS processes from the -- our Hermes brethren. And ultimately, what has been accomplished within the liquidity team at Federated is an integration of the unique aspects of ESG, information and qualifications if you will, into our internal credit process. So we've had an internal credit process since the day of the dawn of money market funds, that attempt to determine minimal credit risk issuers and high-quality issuers that are -- what we're using within our money market fund. Ultimately, we've always taken into consideration, when doing that minimal credit risk analysis, the various aspects of environmental, social and convenance aspects when we're talking about the qualitative association of the various issuers that we're using. While ultimately we have to decide then was after taking the new material that we are using on an input basis from the Hermes folks, is how that plays through within our internal ratings scores. So we've done that. We've incorporated that we've integrated it into our process. And we feel like the validity of our process now with this new input from Hermes is even better than what it has been historically. Although it was very good historically as well and we're now focused on aspects that for various companies may differ. So the social aspect may be higher for a Coca-Cola Company, than it is for BP where the environmental factors may be more pertinent. And then, for our largest industry, that being financial services and banking, certainly the governance aspect is a very large influence on how we are reviewing the issuers and the credits that we're using. Probably one of the more important items that we had to decide in this integration is how we look at what I'll call non-traditional type of issuers. So, issuers that may be our repurchase agreements that have collateral behind them and counterparts rather than traditional issuances. Another type that we had to look at was credit enhanced issuers, where you may small municipalities or project finance that was a bank that's providing the guarantee on that particular issuer and that's the bank that we're looking to in the context of our high-quality minimal-credit risk determinations. And then thirdly would be our asset-backed exposure on mostly the prime side of the equation, where it's asset-backed commercial paper, asset-backed securities where -- what are we looking at? Are we looking at the sponsor? Are we looking at the partial guarantor? Are we looking at underlying receivable? All of that had to be worked out. But I'm proud to say and happy to say that at this point, we have worked it out, we've got our own methodology and we are integrating this ESG assessment into our daily credit work that we perform with the input the valuable input and the proprietary input that comes from the Hermes folks in London.
Ken Worthington: Awesome. That's really interesting. Thank you. Maybe Debbie, just maybe one more for you. You had commented since we're going to the first easing environment in probably a decade. You commented on the institutional side. Maybe what are your thought about the retail side? So I think the retail side and the spread in yields on products has been a driver for you. Does 25 basis points make a difference on the retail side? Does 50 basis points make a difference? Do we start to see maybe retail engagements slow a little bit if the yields on the money market fund products decline and/or if the spread between money market funds in banks isn't as high again focus really on the retail side?
Debbie Cunningham: Well, very interesting, Ken. So we've actually seen bank deposit products already being lowered. So despite the fact that fed hasn't made any move since December of last year. There are banks that have begun their declining rate environment already. So, although banks are ready then to move their deposit rates in an increasing rate environment, they're quickly adjusting usually on a downside. So if the Fed acts as we would expect them to which is minor adjustments to try to find the neutral rate, somewhere around 2% environment give-or-take basis points up or down in a yield curve that gives or takes a little bit from that, we still feel that compared to what deposit products are providing and certainly compared to the zero rate environment that we were a part of unfortunately for a very long period of -- the better part of the decade still will allow retail customers to really enjoy a nice return that is commensurate with what they're getting from inflationary perspective in the marketplace. And as such, we'll continue to find their flows being more likely to be placed in a managed product, such as the money market fund rather than a deposit product at this point. It just really continues to make sense for the retail investor even if we see a 25 basis point high or decline in July followed by another one later in the year. It's still will allow the retail customer to have some sort of a return on its cash, which is pleasant -- not surprised, but a pleasant increase in their income that they've not been experiencing for too long now at this point. I think they will continue to move their assets into the space.
Ken Worthington: Awesome. Thank you.
Operator: Our next question is from Bill Katz from Citi. Please go ahead.
Bill Katz: Okay. Thank you very much for taking the question this morning. I guess, first one Chris, you mentioned the potential for some strategic alliances in the Asia-Pac area. Is this sort of shift of thinking in your mind? And if so, what kind of potential partner and economic trade-offs should we be thinking about that might sort of lead to some kind of alliance?
Chris Donahue: No, Bill. It's not a shift. We've been working on those kind of things for several years and continued to talk to various people about that. Those are hard long-term things to put together. So it represents no shift. As I mentioned in answer to the a few moments ago, there really are two distinct efforts though, getting mandate and getting alliances and we continue to work hard on both of them. I think you'll begin -- you'll see more of the mandate type efforts be successful here in the near term than you will on the alliances, which just take a long time, years and years in fact.
Bill Katz: Okay. Second question, this is a two-part question. Just a little surprised to, sort of, hear the bit of a slowdown in the organic growth on both the mutual fund and the SMAs going into the new quarter. How much seasonality versus any kind of sort of shift in risk preferences? And then just an unrelated question that for Tom, as we think about incremental growth coming into work today versus the sort of established book, what's the interplay between volumes and fee rates from here?
Raymond Hanley: Yeah, Bill, it's Ray. On the first part of it, there may be some seasonality. It's hard to tell. It's really hard to discern a trend, especially from a couple of weeks of data. What I would emphasize is that kind of on the strategies that drove the first quarter results, we continue to see good strong solid results. The Global Emerging Markets fund is positive, probably a little better pace than what we saw in Q2, same thing Kaufmann Small. And again, on the fund side strategic value, very modest net redemptions, again, at a lower pace than what we saw in the prior quarter. And so, beyond that you get a hodgepodge of funds in a very limited window of data. So, it could be seasonality, but it's hard to discern a pattern.
Tom Donahue: And you're not going to get much out of us on the fee rate and where it's going, because it's exactly what Ray just answered, which fund does it come in, which mandates does it come in, and that can move based exactly on those factors.
Bill Katz: Okay. Thank you.
Operator: Our next question here is from Mac Sykes from Gabelli & Company. Please go ahead.
Mac Sykes: Hi. Good morning, everyone.
Chris Donahue: Good morning.
Mac Sykes: Thank you. I actually asked or you answered most of my questions in the previous talk about Hermes, but just getting back to that a little bit. Could you just talk about the trade-off, perhaps in accelerating spend now with that brand in the U.S. versus kind of some incubation of the brand? Do you think that you can capture more shares just given what we think is a decent opportunity for the industry?
Tom Donahue: So, on the budget basis, which we talked about in the beginning of the year with our business development effort, with Harriet's team and Paul's team and Gordy Ceresino as big part of it. And that's selling the product here, and selling the Hermes products in domestically and selling Federated products in the U.S. We talked about a $5 million number, and we are proceeding to do that, and expecting to have the benefits payoff significantly. Someone asked about how long does it take to sell, and just revert back, like you said, in fact, we already talked about their name recognition and getting them -- getting sales over here. We're seeing really good promising early indicators on it.
Mac Sykes: Great. Thank you.
Operator: Thank you. This concludes the question-and-answer session. I'd like to turn the floor back to management for any closing comments.
Raymond Hanley: We've reached our -- a lot of time for today, but we appreciate your interest, and thank you for joining us.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you again for your participation.